Operator: Good morning, and welcome, ladies and gentlemen, to the Helen of Troy Third Quarter Earnings Call for Fiscal Year 2013. [Operator Instructions] Our speakers for this morning's conference call are Gerald Rubin, Chairman, Chief Executive Officer and President; Thomas Benson, Senior Vice President and Chief Financial Officer; John Boomer, Senior Vice President; and Brian Grass, Vice President of Finance and Assistant CFO. I will now turn the conference over to John Boomer. Please go ahead, sir.
John Boomer: Good morning, everyone, and welcome to Helen of Troy's Third Quarter Conference Call for Fiscal Year 2013. The agenda for this morning's conference call is as follows: I will have a brief forward-looking statement review; followed by Mr. Rubin, who will discuss our third quarter earnings release and related results of operations for Helen of Troy; followed by a financial review of our income statement and balance sheet for the quarter by Tom Benson, our Chief Financial Officer; and finally, an open question-and-answer session for those of you with any further questions. This conference call may contain certain forward-looking statements that are based on management's current expectation with respect to future events or financial performance. Generally, the words anticipates, believes, expects and other similar words identify forward-looking statements. Forward-looking statements are subject to a number of risks and uncertainties that could cause anticipated results to differ materially from actual results. This conference call may also include information that may be considered non-GAAP financial information. These non-GAAP measures are not an alternative to GAAP financial information and may be calculated differently than the non-GAAP financial information disclosed by other companies. The company cautions listeners to not place undue reliance on forward-looking statements or non-GAAP information. Before I turn the conference call over to our Chairman, Mr. Rubin, I would like to inform all interested parties that a copy of today's earnings release has been posted to our website at www.hotus.com. The earnings release contains tables that reconcile non-GAAP financial measures to their corresponding GAAP-based measures. The release can be accessed by selecting the Investor Relations tab on our homepage and then the News tab. I will now turn the conference over to Mr. Gerald Rubin, Chairman, CEO and President of Helen of Troy.
Gerald J. Rubin: Thank you, John, and good morning, everybody, and welcome to our third quarter earnings conference call. During the third quarter, we achieved record net sales revenue and record net income. In fact, this was the best quarter in the company's history in terms of net sales and net income. We are pleased that we were able to achieve growth in net sales revenue, net income and EBITDA without share-based compensation in such a challenging retail sales environment. We believe the positive results in the third fiscal quarter validate the strategic vision of Helen of Troy as a leading global consumer products company built on a portfolio of brands that are well recognized and trusted and products that are innovative and address the needs and desires of consumers. We are pleased with the performance of the Housewares segment where the steady influx of new innovative quality products under the OXO banner led to a double-digit organic sales growth during the third quarter. The Healthcare/Home Environment segment also saw improvement as the current winter weather and the early strong cold and flu season have lessened the previously felt impact of high inventory levels at retail due to the previous warm winter and mild cold and flu season. The Personal Care segment continues to make a positive contribution to the company's earnings, but net sales in the segment have been weaker than expected. As a company, we continue to have a very strong balance sheet and generate a significant amount of cash, which can be used to further innovate our businesses and make further future acquisitions. When we're after acquiring PUR, we are pleased with the progress we have made integrating the PUR business. As part of our strategic initiatives to prepare the necessary infrastructure for the planned future growth, we are excited about the recently announced plans to construct a new 1.3 million square foot distribution facility in Olive Branch, Mississippi. This new facility will be owned and managed by Helen of Troy and will replace currently leased space in the area. The facility will supplement the 1.2 million square foot distribution center we already own and manage in Southaven, Mississippi, giving us a total of 2.5 million square feet of distribution capacity in DeSoto County, Mississippi and will accommodate future growth, both organic and through acquisitions. Like other companies, we continue to do all that we can to contain cost and achieve maximum efficiencies. I am pleased to report that a higher percentage of our goods are currently being made outside Asia than has been the case in the past. While we are very pleased with our results for the third quarter of fiscal 2013, we continue to see challenges ahead and are uncertain of the potential impact of changes in the consumer spending patterns resulting from recent and pending domestic tax chart changes and federal legislation. While we still expect earnings per fully diluted share for the full year to be in the range of $3.50 to $3.60, we now expect net sales revenue to be in the range of $1,275,000,000 to $1.3 billion. I now would like to turn the conference call over to Tom Benson, our CFO, who will give you the financial highlights.
Thomas J. Benson: Thank you, Gerry. Good morning, everyone. In the third quarter, we experienced a year-over-year net sales revenue increase of $35.8 million or 10.6%. Gross profit margin in the third quarter improved by 0.3 percentage points year-over-year. Third quarter selling, general and administrative expense as a percent of net sales revenue increased by 0.1 percentage point compared to the same period last year. Operating income increased by $5.2 million year-over-year or 12.5% in the challenging economic environment. Tax expense decreased $96,000 or 1.9 percentage points as a percentage of pretax income. Third quarter net income was $37.7 million compared to $32.9 million for the same period last year, an increase of 14.7%. Diluted earnings per share for the third quarter was $1.18 compared to $1.04 for the same period last year, an increase of 13.5%. Third quarter EBITDA without share-based compensation grew to $57.1 million compared to $50.4 million for the same period last year. Net sales revenue for the third quarter of fiscal 2013 was $374.6 million compared to $338.8 million in the prior year third quarter, an increase of $35.8 million or 10.6%. The increase in net sales reflects incremental sales from the PUR acquisition of $28.1 million, organic growth in the Housewares and Healthcare/Home Environment segments of 10.7% and 1.2%, respectively, partially offset by foreign currency fluctuations that decreased net sales by $410,000 for the quarter, which mostly impacted the Personal Care and Healthcare/Home Environment segments. Operating income for the third quarter of fiscal 2013 was $47.1 million, which is 12.6% of net sales, compared to $41.8 million or 12.3% of net sales in the third quarter of fiscal 2012. This is a dollar increase of $5.2 million and a percentage increase of 12.5%. Year-over-year increase in operating income primarily reflects the impact of the PUR acquisition, organic growth in the Housewares and Healthcare/Home Environment segments and an improvement in operating margin in the Personal Care and Housewares segments. This gross was partially offset by product cost increases across most product categories and higher product packaging litigation costs in Healthcare/Home Environment segment. Net income for the third quarter of fiscal 2013 was $37.7 million, which is 10.1% of net sales, compared to $32.9 million, which is 9.7% of net sales in the prior year third quarter. It's an increase of $4.8 million or 14.7%. Diluted earnings per share for the third quarter of fiscal 2013 was $1.18 compared to $1.04 in the prior year third quarter, an increase of $0.14 or 13.5%. Third quarter net income and diluted earnings per share increase reflects the factors referred to previously in a favorable tax rate compared to the same period last year. EBITDA without share-based compensation in the third quarter of fiscal 2013 was $57.1 million compared to $50.4 million in the third quarter fiscal 2012, an increase of $6.7 million or 13.4%. The increase in EBITDA without share-based compensation is primarily reflective of acquisition and organic growth in the Healthcare/Home Environment segment, organic growth in the Housewares segment and improvement in operating margin in the Personal Care and Housewares segments. EBITDA without share-based compensation is a non-GAAP financial measure, which is presented in a table accompanying our press release, along with the reconciliations to its corresponding GAAP-based measure presented in the company's consolidated consent statements of income. Now I will provide in more detail various components of our financial performance. Products in our Personal Care segment include hairdryers, straightening irons, curling irons, hairbrushes and accessories, liquid hair care and styling products, men's fragrances, antiperspirants and deodorants, foot powder, body powder and skin care products, among others. Key brands in this segment include Revlon, Vidal Sassoon, Hot Tools, Dr. Scholl's, Pro Beauty Tools, Toni&Guy, Brut, Ammens, Infusium23, Pert Plus and Sure. Personal Care net sales revenue in the third quarter of fiscal 2013 was $148.6 million compared to $149 million in the third quarter of fiscal 2012. That's a decrease of $346,000 or 0.2 percentage points. A decrease in Personal Care net sales revenue primarily reflects a difficult U.S. retail sales environment; challenging macroeconomic conditions in many of our international markets; increase in competitive trade promotion activities, including a major hair category launch by a significant competitor; the impact of inventory reductions and shifts in category emphasis by certain retailers; and the impact of foreign currency fluctuations on U.S. dollar reported sales. Our Housewares segment consists of the OXO business. OXO is a leader in providing innovative consumer product tools in a variety of areas, including kitchen, cleaning, storage and organization. Brands that we sell include OXO Good Grips, OXO Steel, OXO Soft Works, OXO Touchables and OXO Tot. Housewares net sales revenue in the third quarter fiscal 2013 was $67.8 million compared to $61.2 million in the third quarter fiscal 2012, an increase of $6.6 million or 10.7%. This segment continues to expand organic growth in its food preparation, bath, cleaning and baby and toddler product categories. Our Healthcare/Home Environment segment consists of the Kaz business acquired on December 31, 2010, and the PUR business acquired on December 30, 2011. Kaz is a world leader in providing a broad range of consumer products in 2 primary product categories consisting of Healthcare and Home Environment. Kaz markets a number of well-recognized brands including Vicks, Braun, Febreze, Honeywell, Kaz, SmartTemp, SoftHeat, Duracraft, Protec, Stinger and Nosquito. PUR is one of 2 leading water filtration brands in the U.S. market. PUR products include faucet mount water filters and systems, pitcher systems and filters and refrigeration filters. Healthcare/Home Environment net sales revenue for the third quarter was $158.2 million compared to $128.6 million in the same quarter last year, an increase of $29.6 million or 23%. Of this increase, $28.1 million relates to the PUR acquisition. The core business in this segment grew 1.2% year-over-year, reflecting strong Braun thermometry and summer season fan sales. Consolidated gross profit for the third quarter was $148.5 million, which is 39.6% of net sales, compared to $133.2 million in the third quarter fiscal 2012. This is an increase of $15.3 million. It's a percentage increase in dollar terms of 11.5%, and it is an improvement in gross profit margin as a percentage of the sales of 0.3 percentage points. The increase in gross profit as a percentage of sales is primarily due to the favorable impact of the PUR acquisition. Gross profit was unfavorably impacted by the impact of foreign currency exchange rates on reported U.S. dollar sales and product cost increases across most categories. Selling, general and administrative expense in the third quarter of fiscal 2013 was $101.4 million, which is 27.1% of sales, compared to $91.4 million, which is 27% of net sales in the third quarter fiscal 2012. This is $1 increase of $10 million, a percentage increase in dollar terms of 11%. Year-over-year quarterly increase as a percentage of net sales in SG&A was 0.1 percentage points. The year-over-year increase in SG&A as a percent of sales is primarily due to higher overall media advertising costs, an increase in product packaging litigation expense in our Healthcare/Home Environment segment, higher depreciation as a result of an upgrade of our enterprise resource planning system and higher amortization of intangible assets as a result of the PUR acquisition. Interest expense for the third quarter was $3.2 million or 0.9% of net sales revenue compared to $3 million or 0.9% in net sales revenue in the same quarter last year. Income tax expense for the third quarter of fiscal 2013 was $6.1 million compared to $6.2 million in quarter 3 of fiscal 2012. The third quarter income tax expense was 13.9% of pretax earnings compared to 15.8% effective tax rate in the same quarter last year. The fluctuation in our effective tax rate is primarily due to shifts in the mix of income tax and various high and low tax rate jurisdictions. I will now discuss our financial position. Our cash and cash equivalents balance was $16.1 million at November 30, 2012, compared to $35.4 million at November 30, 2011. Our accounts receivable were 25 -- I'm sorry, $258.1 million at November 30, 2012, compared to $229.2 million at November 30, 2011. Receivables turnover improved to 62.7 days at November 30, 2012, from 62.9 days at November 30, 2011. Inventory at November 30, 2012, was $306.3 million compared to $251.8 million at November 30, 2011. Inventory turnover decreased to 2.7x at November 30, 2012, compared to 3x at November 30, 2011. Stockholders equity increased $126.1 million to $890.3 million at November 30, 2012, compared to $764.2 million at November 30, 2011. We will now turn it over to -- for questions. Thank you.
Operator: [Operator Instructions] Our first question comes from Bob Labick from CJS Security.
Robert Labick - CJS Securities, Inc.: So you alluded to the early flu season and strong flu season in your opening remarks. I was wondering if you could maybe elaborate a little and help us understand, first, how the inventory levels for Kaz products stand now, and in general, since there's not a lot of history with Kaz in a normal flu season for you, just help us understand better the reorder pattern and how the flu season could affect Q4 for Kaz, in particular.
Thomas J. Benson: Okay. This is Tom Benson. In the cold and flu season, there is an increase in sales in both thermometers and the humidifiers. The retailers are aware that the cold and flu season is coming. It goes anywhere from the late November through April. So they do prepare their inventories for that season. So coming out of last year, they had some excess inventory because it was a very light season. So they did do some buy-ins to get ready for this season. We've had an earlier cold and flu season, which has helped with the consumer purchases at retail. So far, the season is strong. A lot of times over a complete cold and flu season, the incidences can be in the same range and it's just timing. So at this time, the sales at retail are strong. We really don't know how long it's going to continue or if it's just timing for the season. So for the fourth quarter and early in the first fiscal quarter, if we have a very bad cold and flu season and it continues, we should get some additional sales over the prior year. If it slows down and levels off, we may not get strong reorders for that period. So it's very hard to predict exactly what's going to happen.
Robert Labick - CJS Securities, Inc.: Okay. No, that's helpful color. And then looking at PUR, certainly, there was nice sequential growth and the sales remain strong there, but, again, with no past history. Can you just maybe tell us if there is organic growth in the PUR side and what you're doing to drive the sales there on a go-forward basis?
Thomas J. Benson: The PUR, as we mentioned, we acquired it in December 2011. What has happened since then is we have been working on some new products and things, they have not yet been introduced. We have been doing the advertising support that has -- that was done under the prior owner. We have had some changes, some of the sales on the refrigerator filters we used to sell direct, now we're selling them on a royalty basis. So overall sales are going down, have gone down a little bit based to the history. But actually, that's been -- we've gotten the same or greater earnings through a royalty stream. So we do have plans to introduce new products in PUR, and we are continuing to support the category with strong advertising.
Operator: And next, we'll take a question from Jason Gere from RBC Capital Market.
Jason M. Gere - RBC Capital Markets, LLC, Research Division: I guess, a couple of questions. The first question, when you talk about some of the consumer behavior shifts, I guess, are you talking broadly across both your staple side of your business and your discretionary side of business, both one or the other? Because, obviously, you're at -- you're in different products that hit different income levels, so I was just wondering if you could elaborate if there was any one part of the business that you think is going to be hit a little bit harder with that comment.
Gerald J. Rubin: This is Gerry. We -- in the 3 divisions that we have, the OXO division, we are looking for high-single-digit growth there. And then in the Healthcare/Home Environment, the Kaz and PUR division, we're looking for low-single-digit growth. But it's our Personal Care division that has been decreasing, probably will continue for this coming quarter also that we're working on. So that kind of gives you a breakdown of how we see the 3 businesses.
Jason M. Gere - RBC Capital Markets, LLC, Research Division: And do you think that those trends, I'm not sure if that's just for the fourth quarter or is that how you're kind of thinking the next -- maybe the next year out that OXO high single-digit, the PUR and Kaz low single-digit. And these are -- I'm just wondering if this was just more of a very near-term oriented comment because you'll only get -- you've only talked about fiscal '13, you haven't talked about fiscal '14 quite yet.
Gerald J. Rubin: This is kind of what we see for this quarter and for next year, although we haven't finished doing our projections for next year because we don't finish our fiscal year until the end of February. But the generalities that I gave you, the general business climate, I think that's what we're looking for, for next year also.
Jason M. Gere - RBC Capital Markets, LLC, Research Division: Okay. And then, I guess, just to clarify because I think you talked a little bit about the flu season and how that's kind of playing out. So with the lowered sales, it's really based on more the Personal Care business than anything else at this point.
Thomas J. Benson: This is Tom Benson. The Personal Care sales were down about $346,000 year-over-year. And as I mentioned, foreign currencies hurt the company. About $400,000 of which a lot of it is in Personal Care. So the Personal Care was essentially flat for the quarter whereas we did have some organic growth in our Housewares segment, the 10.7%. And in the Healthcare/Home Environment, we had 23% sales growth. The PUR, which we did not have last year, was about $28 million of that, and we had some organic growth in the Healthcare/Home Environment of 1.2%.
Jason M. Gere - RBC Capital Markets, LLC, Research Division: Okay. And then, I guess, last quarter, you took down the EPS but not the sales. This quarter, you kind of adjusted the sales but not the EPS. So what's there? Is it a more cost-cutting effort that gives you -- I mean, I know it's still a wide range, $0.10 range, with a quarter to go. But what -- with the move in the sales and not the change in EPS, what are you seeing better on maybe the margin side that, I guess, prohibits you from deciding to lower EPS at this point?
Gerald J. Rubin: We didn't lower the EPS. We kept the same...
Jason M. Gere - RBC Capital Markets, LLC, Research Division: No, I know you kept it, but the sales are now lower than where they were last quarter. Last quarter, you lowered the EPS, but not the sales. So I'm just saying that this quarter around, you're saying there's going to be less sales coming through and there'll be some trickle effect in the fourth quarter but you're comfortable with the EPS. So can you just talk about some of the positives that you're seeing, maybe it's on the cost side or the SG&A, that kind of keeps that EPS guidance intact.
Thomas J. Benson: Well the -- this is Tom Benson. The change in the sales, we had the old forecast of $1.3 billion to $1.325 billion. We've lowered to $1,275,000,000 to $1.3 billion. So there has been a slight reduction in it. As the time has gone on and as we've gotten through the third quarter, which is our biggest quarter of the year, we've relooked it. We also continue to work on our cost side in all areas. So sales are coming in slightly lower than we had projected in the beginning of the year. It's really -- you have to kind of get through the third quarter to see where you think you're going to be for the full year. And with the cold and flu season, as I mentioned, it really goes through April. We're not exactly sure what it's going to do. If it continues at this pace, we're going to have some positive sales. If it slows down and people in the country are healthier, the sales are going to fall off a little bit in that area. Okay, let me just -- the Kaz business, unlike the -- our other businesses, is a lot more seasonal between fans and heaters and the thermometry and humidifiers. So they really have seasonal businesses where they get the products in. And if it's a strong season, they may get some reorders. If it's a weak season, they don't get reorders and there's some carryover inventory. So the Kaz business is harder to predict than our other businesses that we have the Personal Care and the Houseware business.
Jason M. Gere - RBC Capital Markets, LLC, Research Division: Okay, great. And then just the last question and then I'll hop off. So I appreciate the color on the new facility in Mississippi. Obviously, it sounds like your emphasis on cash flow is towards future acquisitions. But I just wanted to kind of come back to the topic we had last quarter which was about buybacks and what -- at that point, you said you had nothing really to talk about. Did you buy back any stock in the quarter? Are you thinking more longer term about the use of free cash flow for buybacks at this time?
Gerald J. Rubin: This is Gerry. Yes, we did buy a small amount of stock back last quarter. We bought about 60,000 shares for about $2 million. And we're going to see how that works out as -- if we continue to buy stock or look at the acquisitions. We're looking at several acquisitions. And until we see if we're going to go forward with those or not, then we can decide how we'd want to use our cash flow. So we are considering everything right now.
Jason M. Gere - RBC Capital Markets, LLC, Research Division: Okay. And did that, I guess, that 60,000 shares -- I mean, is that why the cash position was a little bit lower at the end of the quarter? Or was there anything -- it just seems a little bit lower than you normally do, given that this is kind of one of your bigger quarters.
Gerald J. Rubin: Yes, Tom will give you the numbers. I think we did -- we've been paying down our short-term loans on it. Tom can give you that number.
Thomas J. Benson: Yes, this is Tom. I mean, the cash was $16 million at the end of the quarter. We have revolver debts. It was -- at the end of the quarter, it was $143.4 million. A large portion of our revolver debt we borrow on 30-day LIBOR. So at certain times, we have to -- that means, to pay it down, we have to wait for the 30-day terms to come up. So it just happened to be some timing that got our cash down. I mean, I would say, as a general statement, the cash usually runs about $20 million.
Operator: And we'll now take a question from Steven Friedman, Wells Fargo Advisors.
Steven Friedman: I have several questions. One, Gerry, relating to the new facility in Olive Branch, Mississippi, you've had good experience with your facilities distribution centers prior. Could you kind of expand a little bit on what type of cost efficiencies? And I presume this would be somewhat of a precursor of additional acquisitions so that you can enjoy all the savings from the increased efficiency.
Gerald J. Rubin: Well, as reported, we're under construction for 1.3 million square feet. We are renting in Memphis about 700,000 square feet, which will be moved over to the Mississippi warehouse, giving us 500,000, 600,000 square feet extra. We always need a couple of hundred thousand square feet for flex space because of the season, and we probably will have a number 300,000 to 400,000 feet for growth in our businesses or in acquisitions. The -- acquiring the warehouse of the distribution center is actually a very good deal for us financially because we -- when we acquired the Kaz company, they were renting the 700,000 square feet. And by building the building at the price that we got it, which is a great price and low interest rates, we're able to, we believe, save a lot of money. And we're owning the building also, so we're not at the whim of the landlord. The other problem was we -- the facility we're in, we were maxed out. It was just 700,000 feet and we couldn't grow. So this is going to help us grow and that's going to be a nice, beautiful building just as our current building is with the 1.2 million square feet. They're about 20 minutes away from each other, if anybody lives in that area. We felt that we could have put this 1.3 million square foot warehouse right next to the 1.2 million square feet warehouse, but we thought that the risk of weather and other things was too high. So we've separated the 2 warehouses. And we hope, by the end of the year, that we'll be operating in these -- in the new warehouse. So it's a good move for us.
Steven Friedman: Okay. I presume this is mostly for the Healthcare/Home Environment, the Kaz acquisition, most of their products, whereas your other distribution center is from your other divisions.
Gerald J. Rubin: Yes, it's part -- Steve, it's partially that. But partially, it will relieve some of the pressure in the 1.2 million square foot warehouse where we have our OXO products, that we can grow that business in that warehouse.
Steven Friedman: Okay. So you expect that to be operational toward the end of the calendar 2013?
Gerald J. Rubin: Yes.
Steven Friedman: All right. Have you been able to quantify any future efficiencies, savings from this? Or just in general, do you see a pretty good bottom line efficiency going forward by the switch from leasing to ownership?
Thomas J. Benson: Yes, Steve, this is Tom. In the -- our next fiscal year, we're not assuming any efficiencies because there's the financial efficiencies, because there's moving expenses, start-up, et cetera, et cetera. After we get settled in, as Gerry mentioned, we'll have some excess capacity. And as we utilize that excess capacity through future acquisitions or core growth, the incremental cost is very, very little. So we see it as being positive. But I wouldn't really be counting on it in the first fiscal year because we're going to move near the end of the fiscal year, probably in the third quarter. We have moving expenses and start-up of the -- the next fiscal year, we'll have some savings.
Steven Friedman: Okay. Gerry, regarding the Home -- Healthcare and Home Environment division, since your quarter ended on November 30, the real onset of the flu, which seems to be as strong as it's been since 2003, would it be sort of -- would it be fair to assume that your Kaz division has worked off the excess inventory from the mild season we had last year and that really, since the start of the flu, was right at the beginning of the fourth quarter, which we're in right now? Could you probably see a substantial contribution from that division, in view of the fact that, as I said, the onset really started at the beginning of December right after your quarter ended.
Gerald J. Rubin: Yes. Steve, Tom kind of gave a little color to the Kaz business and the flu season. The retailers were heavy in inventory because there was a soft cold and cough season this past season. And everything that we read, there is a -- there's more flu coming than the previous year. But I can't tell you that all the retailers have sold everything that they have in the store. I think it's going to take -- it started in December, somewhat. Now we're in January and February. I think it will take somewhere through February to burn off all the inventory. But if it gets worse, then they'll buy more inventory but -- and then, of course, the other thing that Tom told you is that is the flu season going to end at the end of February or will it continue in March and April? These are all the questions that we have. We don't know the answers. I'm not going to tell you that we did terrific because the flu season starts in December. It only started in December. And the retailers are selling more product, that is a true statement. But that doesn't mean that we ship them more because they're trying to work off their inventories. But we'll see how it works out in January and February and March and April based on the flu season, how long it continues. And there's no doubt that as the flu season continues longer and stronger than the year before, that we will sell more merchandise. So -- but let's see how that works out.
Steven Friedman: Okay. And one last final question, and I bring this up with repetitiveness each call, Gerry. With your earnings up from $1.04 to $1.18 for the quarter and all divisions are strong with the exception of Personal Care just holding its own, being flat. At even the lower price point of your earnings per share modeling, don't you think the stock earns -- or deserves at least a 12 to a 15 multiple, which should place it in the $45 to high $40, $50 range?
Gerald J. Rubin: Steve, thank you for bringing that up. We do the analysis of how much ROI versus other companies who are selling at 15 and 20 and 22x earnings that don't do any better in the marketplace than we do, and that's one measurement. And you're right. The stock should sell as high as $50. And then if you use the other measurement of EBITDA that we're accruing, you come up with about the same answer. I wish I could control the stock market. I've told you in the years, it should be a $50 stock. We hope to get it there. It's just not there. And -- but if you did all the measurements and ranked us against other companies, yes, we are selling at a low price. One thing, Steve, that I -- because you brought up about the cold season, everything like that, and I just wanted to give you an idea, and everybody, is that where are we in the marketplace as far as products for the cold season? And we're the #1 leader in the United States in ear thermometers under the Braun brand. We're the #1 leader in air purifiers in the United States and Canada. We're the #1 leader in branded humidifiers from Vicks and Honeywell. And of course, we're the #1 leader in faucet mount water purifiers. We're the #2 leader in pitcher water purifiers. So we have great market share. And then if you look at our Personal Care business, we're actually a leader in the hair dryers and curling irons and straighteners with our different brands that we have. And we're certainly a leader in the professional hair care appliance business. So we have good market shares and leadership in a lot of the categories. And those categories that we mentioned that have to do with the cold and flu season, hopefully, will turn into more sales as the season progresses.
Operator: We'll now take our next question from Lee Giordano from Imperial Capital.
Lee J. Giordano - Imperial Capital, LLC, Research Division: Can you provide an update on the acquisition environment you're seeing currently and how you're thinking about acquisitions in 2013?
Thomas J. Benson: This is Tom Benson. We are seeing a flow of opportunities. We're active. We are -- we would like to do an acquisition, if we can find the right acquisition. We have low leverage. We have the financial capacity. We like the interest rate environment. We have worked with very supportive financial partners. So we're working on it daily. It did slow down a little bit at year end, I think people were trying to finish deals and were out marketing new deals. But we would like to do an acquisition if we find the right one. So -- and we have a number of different investment bankers that bring things to us and they know that we're active.
Lee J. Giordano - Imperial Capital, LLC, Research Division: Great. And Tom, how should we think about the tax rate going forward? And then secondly, what was CapEx for the last 9 months?
Thomas J. Benson: The tax rate going forward, I would say, at least through the next year, I'd say in the 15% range, depends. When we do our next acquisition, we'll, depending on the structure of that acquisition, it'll affect the tax either positively or negatively. We are doing some tax planning longer term. We're working on some things that we hope to be able to bring our effective tax rate down. But I'd use 15% for at least the next year.
Gerald J. Rubin: CapEx.
Thomas J. Benson: CapEx, I don't have for the quarter. Year-to-date, it's $6.4 million.
Operator: And next, we'll go to Jeffrey Matthews from RAM Partners.
Jeffrey Matthews - RAM Partners, L.P.: Last quarter, you highlighted the difficult sales environment. And I'm wondering how things might have changed in the last quarter going into year end, calendar year end, what you saw in your retail base.
Gerald J. Rubin: Yes. I don't think there was -- there's much change. What we saw earlier in the middle of the year and what we're seeing now is pretty much the same. We all read what's going on in retail. Some retailers did well, some didn't, some are struggling. It's just across the board. I know everybody looks at the economic situation in the United States, you probably know more than I do. But we still have economic problems in the United States. You still have the unemployment and it's high. And as I mentioned, because of all the new regulations and taxes that are coming out this year, we're a little apprehensive of what happens when people get their paychecks and they find out that they are making less take-home pay. Will that affect the sales of retail? So we have all these things going on that we have to look into. But I can tell you that the environment has not changed that much to report.
Jeffrey Matthews - RAM Partners, L.P.: So they're good or they're bad either way?
Gerald J. Rubin: Right. And of course, I don't know what's going to happen now that everybody knows when they get their paycheck, it's going to be a little less unless they get an increase in their salary to offset their taxes and social security. So we'll see how it works out.
Jeffrey Matthews - RAM Partners, L.P.: Sure. And then that was my next question, actually. That guidance, the discussion of the -- whatever impact there might be from the tax, payroll tax. You simply -- a cautionary thing where we don't know -- it's not anything you've actually heard from retailers, just specifically got anything on.
Gerald J. Rubin: No, it's just cautionary. If people get paid twice a month and haven't got their paychecks till the 15th, you're going to see the attitude of what goes on and does that affect retail sales. So we'll know more and then big picture, people overbuy in Christmas. They have too much credit card debt. They got to pay their credit card debt down before they buy. There's always macroeconomics that are going on. But we've made our projections based on what we believe is the best facts that we have for the business.
Jeffrey Matthews - RAM Partners, L.P.: Sure. Understood. And then last quarter, you also talked about that you'd had some -- raising some prices in certain cases last quarter. Any update on that?
Gerald J. Rubin: Yes, I think the market for prices is -- what we're paying is stable right now. In some cases, we are looking because of our volume for better prices. But a majority of our products come from Asia and China. And after Chinese New Year, the minimum labor rates will be going up 15% to 20%. So we're working on how that's going to affect us and who's going to absorb the wage increases, either us or the factory. So we're going to see who's going to absorb it. But labor is going up in China. Whoever you talk to, whatever the industry is, labor is going up because minimum wage is going up.
Jeffrey Matthews - RAM Partners, L.P.: All right. And you -- it was the first time I'd heard you highlight it in the script about -- in that your growth in production outside of Asia for the first time, I think, was what you said, or an increase in production outside of Asia. Is that a trend that you see continuing and intensifying over the years?
Gerald J. Rubin: We're making more and more progress. For those of you that know where we're at, we're in El Paso, Texas. We're close to right on the border with Juárez, Mexico. So we are actually making more products in Mexico, whether it's in the area around here or more south. We are producing more product than we ever had in our history. So whether it's a trend, hopefully, it is. We're looking at each product. It doesn't mean that we're moving everything to Mexico or the United States. But we do make, in the United States, product. We do make in Mexico. We do make in Asia. So it depends on the product, the category and the cost. So we definitely evaluate every single product and try to evaluate where is the best place to make this product in the whole world.
Operator: [Operator Instructions] There are no further questions in the queue at this time. I'd like to turn the conference back over to Gerald Rubin for any further closing or additional remarks.
Gerald J. Rubin: I wanted to thank everybody for listening and participating in our third quarter conference call. I appreciate everything and all the questions that you gave us. So I'm looking forward to the fourth quarter, which will be our year end in a few months, and we hope to have good results to report then, too. Thank you again for listening in.
Operator: Ladies and gentlemen, that does conclude our conference for today. If you wish to access the replay for this call, you may do so by dialing (888) 203-1112 and entering replay passcode 8425212. This concludes our conference call for today. Thank you all for participating, and have a nice day. You may now disconnect.